Operator: Good day, everyone, and welcome to the Orion Marine Group Inc.’s Fourth Quarter 2008 Earnings Conference Call. Today’s call is being recorded. For opening remarks and introductions, I would like to now turn the call over to Mr. Chris DeAlmeida. Please go ahead sir.
Chris DeAlmeida: Good morning and welcome to the Orion Marine Group fourth quarter and full year 2008 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer; Mark Stauffer, our Executive Vice President and Chief Financial Officer; and Cabell Acree, our Vice President and General Counsel. Regarding the format of the call, we have allocated about 20 minutes for prepared remarks in which Mike and Mark will highlight our results for the year and outlook for 2009, and then we will open up the call for questions. During the course of this conference call, we may make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, backlog, projects and negotiation of pending awards as well as our estimates and assumptions regarding our future growth, EBITDA, gross margins, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties that may cause actual results to differ materially. Moreover, past performance is not necessarily an indicator of future results. By providing this information we undertake no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Also, please note that the EBITDA and EBITDA margin may be deemed non-GAAP financial measures under the rules of the Securities Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website at www.orionmarinegroup.com for comments on the use of non-GAAP financial measures, as well as applicable reconciliations to the most comparable GAAP measures. Also, please refer to our earnings release issued this morning, March 5, 2009 and our quarterly and annual filings with the SEC, which are available on our website for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. With that, I will turn the call over to Mike Pearson, President and CEO. Mike?
J. Michael Pearson: Thank you Chris. Good morning and thanks for joining us. Although, we were faced with several challenges during the year, we are very pleased with our 2008 results and I believe we are well positioned for the future. We ended the year with a strong fourth quarter, and as a result of solid project execution. Our revenues for the full year for 2008 increased $51.4 million, or 24% as compared to 2007 that exceeded our revised revenue growth goal of 21% to 23%. Our full year EBITDA was $41.3 million and that resulted in an EBITDA margin of 15.8% and that’s at the upper end of our revised full year goal range of 14% to 16%. Now before we talk about our outlook for the year ahead, I wanted to just check a moment to review 2008. And as I look back over the year, we had many successes and many challenges. We remain focused on growing the business to meet market demands by reinvesting in our core assets and we expanded our geographic footprint. During the year, we opened a base in Norfolk, Virginia and laid the groundwork for a base in Charleston, South Carolina and we also acquired substantially all the assets and business of Florida-based Subaqueous Services. In 2008, we continue to see good overall demand for our turnkey construction services. As port expansion continued, the cruise industry added new destinations; bridge construction remained a focal point and hurricane restoration and repair activity increased. While projects involving dredging services in the Western Gulf Coast started the year slower than expected. The volume of bid opportunities from Army Corps of Engineers increased during the fourth quarter. We also experienced some challenging situations during the year, and as previously mentioned we have two projects involving dredging services that incurred significant production problems in the first half. Additionally, an active hurricane season resulted in all of our jobs in several states being shutdown at various times during the third quarter. However, we worked hard to overcome these challenges to deliver the solid results that we’ve reported here today. As a final word on 2008, I want to thank the management team and all our employees for job well done during the year. Through their dedication and perseverance we met difficult challenges head on and positioned the company for the future. Now turning over to our end markets and outlook for the remainder of 2009, as stated before continued port expansion and the need for U.S. infrastructure improvements, coastal wetland restoration projects, and expansion in the cruise industry should continue to provide us with good bid opportunities. Additionally, we’ve been performing some repair and replacement projects to marine facilities as well as projects involving dredging services as a result of an active 2008 hurricane season. And we do expect additional bid opportunities for this type of work to continue. However, we remain in uncertain economic times and therefore we have to be continually vigilant about the state of our end markets. As we previously have stated, it is not unreasonable to think that some of our end markets could see some deterioration or bidding delays as a result of the uncertainty on the economy. However, the other end markets may outperform due to increased spending on infrastructure projects as well as hurricane protection and restoration projects. While we’ve not seen any significant pullback or delays to date, we will remain vigilant as the economy continues to be under pressured, and some of our end markets maybe impacted. However, we still believe the impacts of the economic downturn maybe mitigated by the need to rehabilitate America’s crumbling infrastructure and provide needed improvements for the future. Looking across our major growth drivers in more detail, we believe the Gulf Coast and the Southeast Atlantic ports will continue with the expansion plans, despite some decrease in global shipping traffic. As we stated last quarter, we continue to see port infrastructure projects developed in our market areas. In fact, we recently announced an award for port improvement project in Houma, Louisiana and we are currently looking at other port expansion projects in our market areas. And we believe funding for these projects will remain intact for most of the planned port expansion. Port funding generally comes from the local port authorities, which in many cases have their own revenue stream. Additionally, bridge rehabilitation and replacement continues to be a focal point, despite the economic pressures. And we are currently working on three major bridge replacement projects, as well as other smaller, but important bridge projects. We continue to see additional bridge opportunities and believe these projects will be a priority of states with funding that’s coming in from the annual spending of the current safety loop program and potentially through the recently passed stimulus package. With regard to the Army Corps of Engineers, we believe we will continue to see increased opportunities. The Corps is now well positioned with significant funding levels as a result of their normal budget funds, plus additional supplemental emergency hurricane related funding, and also additional funding from the stimulus package. And this elevated funding level has already resulted in increased bidding activity from the Corps during the fourth quarter of 2008, and we expect this increase activity continue throughout 2009. Another important end market driver is the substantial amount of work related hurricane protection, restoration and shoreline stabilization. The third funding from the Federal Government, the Army Corps of Engineers and some state monies, we believe there is adequate funding for these projects, and believe these projects are a priority in various levels of government. Finally, I want to touch on the cruise industry, despite a reported drop in cruise bookings, there remain several large ships under construction or being delivered that are expected to come online over the next couple of years. The current marine facilities that will dock some of these large ships are inadequate and require substantial upgrades. We believe we will continue to see either mooring upgrades to existing facilities or new cruise ship pier construction opportunities as a result. And notwithstanding, what I just said we fully realize the cruise industry is on a difficult time. However, we’ve not received any indication to date that the projects that we are currently working on will either be delayed or canceled. That said, we will keep a watchful eye on this end market, but at this point we continue to be excited about the prospects in the cruise sector. So to sum it up, we continue to see strength in most of our end markets and good prospects both near-term and long-term and we remain cautiously optimistic about the year ahead. And finally before I turn the call over to Mark Stauffer, I want to talk about the recently enacted stimulus package. We are positioned to potentially benefit from the stimulus package, most directly the Army Corps of Engineers has been allocated approximately $4.6 billion of additional funds, which approximately $2 billion as additional funding for operation and maintenance projects. And these additional funds should help support a high level of spending in the market that we currently serve, which should lead to additional bid opportunities. Additionally, there is $27.5 billion that has been set aside for transportation for highway improvements of which a portion should be for bridges over water. Unfortunately, at this point, we don’t know exactly how much will be spend over bridges over water in our market, but the heightened focus on bridge restoration and replacement leads us to believe that they’re some potential new opportunities in our market areas. And on top of this, the current safety loop program will be up for renewal later this year. And we believe there will be a continued emphasis on bridge construction with a new legislation. While we do not know all the details at this point, there are also maybe additional opportunities from the stimulus package in the form of flood prevention projects funding for Coast Guard construction, including repairing and removing bridges hazardous to marine navigation and other grants for investments and improvements to small domestic shipyards and restoration and modernization of defense facilities in the United States and also for the Mississippi River Tributary construction. As far as timing is concern, we believe most of these opportunities will be in the 2010 to 2011 timeframe with some potential benefit in 2009. As such the stimulus package is not included in our $1.4 billion market database of opportunities that we currently track for this year. So, in closing I just want to reiterate that we are pleased with our overall results for 2008 given some of the difficulties we faced. And as we look ahead, we see good opportunities for growth and opportunities to continue our expansion plans. Still we want to grow the business profitably. So we are going to be prudent in our bidding and execution and vigilant in monitoring economic developments, which are difficult to predict with regard to any positive or negative impacts on our business. And with that, I will turn the call over to Mark Stauffer, our CFO to discuss financial results in more detail. Mark?
Mark R. Stauffer: Thanks Mike and again thanks for joining us. Net income for the full year 2008 was $14.5 million, or $0.66 per diluted share, which compares with $16.6 million or $0.83 per diluted share in the prior year period. After adjusting full year 2007 net income per share to the full year 2008 share count, full year 2007 net income would have been $0.76 per diluted share compared with full year 2008 diluted earnings per share of $0.66. Net income for the full year 2008 was impacted by an active hurricane season, the pace of projects involving dredging services in the first half of the year and a couple of projects with product issues early in the year. Full year 2008 contract revenues increased 24% year-over-year to $261.8 million, of which 50% was generated from federal, state and local government agencies and 50% from private industry. This compares to 57% from federal, state and local government agencies and 43% from private industry for the full year 2007. I would like to remind investors that there can be fluctuations in quarter-to-quarter results due to the timing and mix of projects. For this reason, we suggest investors focus on a long-term and annual results rather than quarter-to-quarter fluctuation. Now looking at goals for 2009. As of December 31, 2008 we had a backlog of work under contract of $159.4 million, which we expect will be liquidated during 2009. In addition, we have recently announced a larger port project award in Houma, Louisiana, which will add approximately $20.5 million to our 2009 backlog. Including this project, we have about a $180 million of backlog that is expected to be liquidated in 2009. On top of our current backlog, we are continuing to track $1.4 billion of bid opportunities for 2009, which excludes the recently enacted stimulus package. Given the current backlog and bid opportunities, we expect first quarter 2009 revenues will grow 28% to 32% year-over-year. Additionally, we have set our first quarter EBITDA margin goal at 14% to 16%. For full year 2009, we remain comfortable with our previously stated full year 2009 year-over-year revenue growth goal of 12% to 16% and our full year 2009 EBITDA margin goal of 14% to 18%. We expect full year 2009 CapEx to be in the range of $16 million to $18 million. The planned increase in CapEx from 2008 as a result of anticipated equipment needs to meet additional large projects we see forthcoming. However, we will monitor the market and adjust our CapEx program to meet actual market demand. As a reminder achievement of these goals could be impacted by the uncertain economic outlook and as a further reminder we cannot guarantee that revenue projected in our backlog will be realized or if realized will result in earnings. Turning to the balance sheet, we believe it is important to have a strong stable balance sheet in this uncertain economic environment. We have maintained a strong balance sheet with good free cash flow generation, low leverage and a solid cash position for many years. For the year, net cash flow from operating activates was $26.5 million, which is an increase of $16.4 million as compared to 2007. We believe the good positive cash flow from operations is one of the foundations in our company that is viewed favorably by our bonding company and is a safeguard during volatile times like these. As a result, continued free cash flow from operations at this time, we do not anticipate the need to utilize our revolving line of credit. Additionally, we once again ended the year with solid cash position. As of December 31, 2008, we had cash on hand and availability under our revolving line of credit of approximately $33.5 million. In addition, we had another $15 million of liquidity available to the company at the discretion of our lenders. Finally, our debt position remains low. As of the end of the year, our leverage was less than one times EBITDA, which we believe is conservative and well below our comfort level of 2.5 to 3 times EBITDA. To sum up, we maintained our solid position during the quarter. Our strong balance sheet should help us in this current economic crisis. As Mike mentioned with our backlog and our visibilities for good market opportunities, we are comfortable with our financial position. With that, I will turn the call back to Chris to begin the Q&A portion of the call.
Chris DeAlmeida: Thank you, Mark and Mike. We would now like to open up the call for questions. [Kara] will you please review the procedure for placing a question?
Operator: Yes, sir. (Operator Instructions). We will take our first question from Fred Buonocore with CJS Securities.
Fred Buonocore – CJS Securities: Yes. Good morning, gentlemen. Excellent quarter.
J. Michael Pearson: Thank you.
Mark R. Stauffer: Thank you, Fred.
Fred Buonocore – CJS Securities: Just on gross margins, which have been somewhat of moving [to] this year. Just to clarify margins were down year-over-year, you mentioned in the press release due to higher material costs. So, is that kind of indicative of a higher mix of construction business in Q4, this year versus say last year when you had, I think more dredging project and work with your higher margins?
Mark R. Stauffer: Yeah, that’s a good indication of that and as we kind of said before it really depends on the mix of and timing of projects. And that’s going to drive that, that’s going to drive that margin and that it can fluctuate from period-to-period.
Fred Buonocore – CJS Securities: Got it. So the pretty decent sequential improvement that you had that would be mix related?
Mark R. Stauffer: Yes.
Fred Buonocore – CJS Securities: Got it. And then also in the release you talked about on SG&A. You got an increase, there related to bad debt reserves and property taxes. On the increase in bad debt reserves, as this related to some identified receivables that you are concerned with and. If you can just give us some color about the magnitude of both of those items…
Mark R. Stauffer: Sure, sure.
Fred Buonocore – CJS Securities: That will be great.
Mark R. Stauffer:
, :
Fred Buonocore – CJS Securities: Got it, and then the property taxes?
Mark R. Stauffer: Well. Property taxes that’s, we’ve got SSL in the mix this year, and just the way rates are moving around and some other issues that resulted in it being higher than previous period.
Fred Buonocore – CJS Securities: Got it, and then just one last one. Can you give us a sense for how much Q4 revenue was benefited say from the hurricanes in Q3? I know you had some work pushed out there and also put on the same lines, how bookings and backlog in Q4 may have benefited from orders being pushed out from Q3? I’m just trying to get a sense of how the quarter benefited from the Q3 hurricanes? Thank you.
Mark R. Stauffer: I don’t think it was that much for the hurricane restoration work. We carried out some smaller projects initially, but I think what we’re seeing now is that the fallout of the hurricane remediation is really going to be done this year.
J. Michael Pearson: And but, separate from that we did see an increase in core activity, some of which was most of which was unrelated to the hurricane activity.
Fred Buonocore – CJS Securities: Got it. But hadn’t last quarter didn’t you I think you quantified around $6 million in work under contract that got pushed out of Q3 because of hurricanes, is that right?
J. Michael Pearson: Correct.
Fred Buonocore – CJS Securities: And was all of that, did all of that impact this quarter or is it kind of did stretched out into...
Mark R. Stauffer: It did, as we talk about and that would be pushed out into the future periods, some of which burned off in Q4, but some of it just be giving the nature of where we were in those projects and the duration of those projects, a blood over past Q4.
Fred Buonocore – CJS Securities: So, we will still see some of that in the Q1 and onwards?
J. Michael Pearson: Correct.
Fred Buonocore – CJS Securities: Got it, thank you.
Mark R. Stauffer: You bet.
Operator: Take our next question from David Yuschak with CMH (sic) [SMH] Capital.
David Yuschak – SMH Capital: Hey, good morning guys.
J. Michael Pearson: Good morning.
Mark R. Stauffer: Good morning.
David Yuschak – SMH Capital: You speak positively about the Army Corps of Engineers and all the activities. So it sounds like a lot of their spend this year is going to be kind of in your wheel house so to speak. One of things that we are kind of hearing to from sources is that the Army is really kind of strapped with resource allocation themselves as far as getting a lot of this work done. How do you read that as far as may be slowing things down versus all of the activities that they know they need to get scheduled?
J. Michael Pearson: Well, the Corps has a lot of projects that have been on the shelf for some time they just haven’t had the funds to bring them to the forefront. So, I believe what exist in staff, we are going to see quite a bit of bid activity, just with projects that have been postponed for quite some time, but we’ve had several meetings with the Corps in different districts and they intend to add man power I know that, they are taking steps now to increase their support meaning and there will be not only bringing back retirees, but looking at consulting an engineering systems that’s available that will help them ramp up. So, we feel confident that they’re taking the right steps to get ready deposits as this work.
David Yuschak – SMH Capital: Okay. So, knowing that there is a big backlog out there, you’re feeling comfortable that they’re doing the things necessary to implement them sooner than later then?
J. Michael Pearson: Yeah. There have done several industry meetings with the dredging industry, the Corp and the port authorities jointly to talk about how to process as volume of work and it’s got a lot of focus right now.
David Yuschak – SMH Capital: And then one other question I’ll get back in queue. As you look at the mix of business this year, you have seen a pretty pronounced shift to the commercial side of the equation here relative to government. Do you expect that because of all this activity you may be seen another shift back the other way maybe not to the extremes that it had been, but maybe halfway to where it had been a few years ago?
J. Michael Pearson: Well, it certainly could, I mean we only did think about 11% of actual federal work this year in 2008. So, that’s certainly going to increase.
Mark R. Stauffer: And Dave I think it really depends again on the projects that we choose to go after given the opportunities we see in front of us and those that were successful on, but it certainly is a reasonable thought that you have that we could certainly see the government sector piece pickup in 2009, but again its going to depend on what we go after and what we are successful in getting.
David Yuschak – SMH Capital: Do you think it might be more from a government mix more towards like a port authority versus may be the DOTs of the world or what's your thoughts there?
Mark R. Stauffer: You know, again it's going to depend because we think as Mike said during his prepared remarks, there is a lot of bridge opportunities that we are looking at, we will have to see what comes out of this stimulus by way bridge is over water. And again with the Corps work in this restoration work its just going to depend on we get and what we go after?
David Yuschak – SMH Capital: Okay, well. I'll get back in queue. Thanks.
Mark R. Stauffer: Okay.
Operator: Next we will have Trey Grooms with Stephens Incorporated.
Trey Grooms – Stephens Incorporated: Two quick questions first of Mike, you touched on it just a little bit earlier from a previous question, but the emergency funding for storm hit areas you said the hurricanes really didn’t impact the quarter too much. Can you give us a sense for how you see that those funds kind of rolling out in 2009?
J. Michael Pearson: Well, I think it will be disbursed in the second quarter, we expect to see increased bidding activity come out of the Corps here probably by the end of this month. I think April is going to be an active month for letting bids and we have met with the Galveston District here just recently and we know Galveston has a tremendous amount of projects planned to liquidate over the next two years I think there is essentially over $1 billion just without one district over a two period. So, we are pretty excited about that, that’s right in our backyard.
Trey Grooms – Stephens Incorporated: Okay, that’s helpful. And also you touched on the couple of jobs from last year that dredge jobs that caused some disruption. And can you talk a little bit about what kind of steps you guys or have taken to minimize the potential of that occurring again?
J. Michael Pearson: Right. Well we have certainly taken a good look at our bidding procedures and tightened up on trash removal, it's an area that we have subsequently been successful in qualifying with most of our clients. And if we can't qualify we have to, make an allowance for it, but that certainly goes to setback for us in the second quarter that I think the trash that we encountered in the subsequent half of the year, we performed very well in terms of getting reimbursed for it. So, I feel like we’ve addressed that adequately and restructured accordingly.
Trey Grooms – Stephens Incorporated: Okay perfect. And then on the port expansions as far as people getting ready for the Panama Canal expansion there is your wheelhouse in the Gulf. Do you have any sense of I know we’ve identified billions of dollars worth of expansions that have been announced, but do you have any feel for kind of the timing on when these people might start pulling the trigger on some of the stuff, I mean is the and also is the kind of the economy the way we sit now is that are you seeing people kind of put the breaks on that?
J. Michael Pearson: Well, it depends on the low port location, I mean we know that some ports in the second half are going to come out with projects to expand container terminals, expand cruise terminals and I think the bigger ports are moving forward. The one thing that is happening right now in the industry, the shipping industry is even thought the Baltic freight rates taken a big dive, its really been a catalyst to the shipping lines to build bigger mega container ships and that’s going to put pressure on smaller ships and all of that just leaves me to believe that the importance of being ready once Panama Canal is widened in 2014 is huge for these ports in the Gulf Coast and Southeast Atlantic and from what we can see those plans are still impact, and we’re comfortable that there is going to be plenty bid on that.
Trey Grooms – Stephens Incorporated: And you think as only as the second half ’09, you could start seeing activity there?
J. Michael Pearson: I do.
Trey Grooms – Stephens Incorporated: Okay. And just a couple of questions for Mark real quick. D&A for ’09, I am sorry if I missed it, but have you – could you give us a thought on what you’re looking for there?
Mark R. Stauffer:
Trey Grooms – Stephens Incorporated: Okay. And then the other question previous caller asked about SG&A and the detail you gave was helpful, but now what you’ve talked about bad debt and the other thing is going on in, that went on in the fourth quarter, what’s the good run-rate that you see for SG&A in 2009. And I understand we have to keep in mind that Subaqueous amortization rolling off there as well.
Mark R. Stauffer: Well, I think if you sort of take a look at Q4 ’08 and sort of back out those items we talked about the 750 or so, you probably had a fairly decent run rate.
Trey Grooms – Stephens Incorporated: Okay. Great. That’s helpful. Thank you.
Mark R. Stauffer: You bet.
Operator: We will take our next question from Jack Kasprzak with BB&T Capital Markets.
Jack Kasprzak – BB&T Capital Markets: Thanks. Good morning everyone.
Mark R. Stauffer: Good morning, Jack.
Jack Kasprzak – BB&T Capital Markets: Hi, is the $1 billion of projects coming out of Galveston potentially over the two years in that $1.4 billion bid tracking number?
J. Michael Pearson: Actually no, we have the base budget of the Corps, but until we get a definitive list of projects, its we don’t put that on our database, we just know that they have got about, I think over $600 million just in stimulus funding that’s been directed their way and about a $180 million of supplemental funding. So we have had an industry meeting that we participated and where they gave a list of projects they aren’t qualified by dollar value but I can just tell you that its an expensive list of work to be carried out. So, that’s going to spend over two years, 2009 and 2010 and we’re pretty excited to see that.
Mark R. Stauffer: And also as we move forward just kind of think about that that’s probably going to become [Inaudible] in other words as that stuff flows in our database what it’s going sort of become indistinguishable from what’s really sort of coming from stimulus and supplemental funding and versus what sort of the norms as we move forward that water is going to be a little more muddy.
Jack Kasprzak – BB&T Capital Markets: All right. Well I was going to ask if there were a list of projects from the Corps I guess you…
J. Michael Pearson: Yes, yes there are, there is a specific list with very circulated and I am not sure when these tender packages will be coming out. As they are starting probably in April, but the information should be available shortly each district around United States, the Corps commanders have all got their identified lists that were submitted to come up with the stimulus program. So eventually that is going to come out we’re waiting for a copy of it. I think we will probably see it before the end of the March.
Jack Kasprzak – BB&T Capital Markets: Okay. And with regard to the DOT side, my understanding is that the States have to put to work half of their stimulus money within 120 days, which is obviously and the clocks has already taking, so obviously they’re under the gun. And similar to the Corps they’ve got probably a list of backlog of projects that are ready to go. So, are you guys, what do you guys seeing if anything on the DOT side, I guess particularly maybe with Texas DOT as a good historic customer, anything there in the immediate future?
J. Michael Pearson: We haven’t seen anything yet ourselves. I think they will be coming out with some packages here for the rest of the year. Obviously, Texas is going to be a big recipient of about 2.2 billion, I saw today that they announced some rail work. What would you call it…
Mark R. Stauffer: Yeah, train rail work…
J. Michael Pearson: Yeah, train rail work, it’s just been awarded about $1.4 billion, but this probably going to be in the next month before this comes out, but we think both Texes and Florida is going to be two big recipients. Texes is about $2.2 billion and Florida is expecting about I think $1.4.
Jack Kasprzak – BB&T Capital Markets: Yeah.
J. Michael Pearson: And I think we should start seeing some clarity on that, pretty shortly, because I think I know Texas, Louisiana and Florida I think are expecting pretty healthy April lettings, which means that the packages should be coming out shortly.
J. Michael Pearson: Yeah, I tell you Jack, the thing interests me about this is, there is $27.5 billion out there and we just took the eight states that we are currently covering and about a fourth of the money is allocated in the market in those eight states. So, that’s a good indicator and the thing we can’t tell you that’s always hard to extract out is how much of that is going to be over water, but I think Florida is teed up for $1.4 billion and for the last two years we’ve been very busy doing bridge work in Florida and I just think that is going to continue.
Jack Kasprzak – BB&T Capital Markets: Given that – it seems like a lot of positive dynamics on the macro front with regard to your markets and potential opportunities and then when I look at the guidance – first quarter guidance for sales, and EBITDA margins are better than the full year guidance in terms of growth and overall average. How should we frame that out is it just a situation where it’s fairly early in the year maybe you don’t win any work so the – who knows what the, as you get later on the year what the back half looks like. Why is the first quarter so much better than the full year guidance?
J. Michael Pearson: Well, there is a couple of points there Jack, one is keep in mind that first quarter ’08 we did not SSL, we had them – they sort of came in at the tail end of the quarter there and didn’t really provide that much in the way of impact to Q1 '08. So that’s part of the reason why for Q1 '09 it’s sort of outsize when compared to full year. And the second part is exactly of your question for the full year, I think there a lot of positives out there that we talked about today we want to be careful to balance that against the caution of the overall economy and we could, as we’ve said, we could see some of our end markets pullback and so accordingly we think it is prudent to remain cautiously optimistic.
Jack Kasprzak – BB&T Capital Markets: Okay. Great thanks a lot.
J. Michael Pearson: You bet.
Operator: We will take our next question from Alex Rygiel with FBR capital Market.
Alex Rygiel – FBR capital Market: Hi, Mike and Mark, good morning congratulations, great quarter.
Mark R. Stauffer: Thanks
J. Michael Pearson: Thank you.
Alex Rygiel – FBR capital Market: You mentioned that billion dollars in Galveston over the next two years, what do you the value was of projects that they let over the past two years?
Mark R. Stauffer: I will have to get back to you, I don’t really know the exact answer on that, but it’s a big uptick from what they’ve had for funding.
Alex Rygiel – FBR capital Market: Okay, as it relates to the opportunities New Orleans to rebuild some of the levies down there. I’ve seen some press that had suggested that the cost of that up the construction has increased significantly and it sounds like politicians are willing to reallocate budgeted dollars from levies forecasted in other areas down into New Orleans. So, therefore it sounds like the opportunity in New Orleans actually increased for you. Could you comment on that as well as the timing?
Mark R. Stauffer: Well, there is more packages coming out to bid on, we’ve been actively bidding a portions of the contract that was awarded to Shell Group. To date we haven’t received any awards on that aspect of the program but we’re continuing to bid and there will be more packages coming out for finishing up the hurricane protection system around the city. And that is going to carry on through 2011. So, there is a lot more to come and on top of this you get the Louisiana Coastal Protection and Restoration Authority that they just came out with their 2010 draft annual plan for what they call the ecosystem restoration and hurricane protection. And they’ve got 1.2 billion in funding, currently available to be spend over three year period. And that will involve things like building, wetlands, using dredge material, barrier reefs and construction and so far. So they just seem to be a lot in the mill. And if some funds get diverted from one project into New Orleans I just simply say that is prioritizing the funding that is available, that is just a tremendous program that Louisiana has in place. And that is why we went and planted our flag over there and started establishing an office to pursue that work.
Alex Rygiel – FBR capital Market: And lastly, Mark, could you comment on what you think the tax rate is going to be in 2009?
Mark R. Stauffer: 37% should be a good rate to use.
Alex Rygiel – FBR capital Market: Perfect, thank you very much gentlemen.
J. Michael Pearson: You bet.
Operator: We will take our next question from John Rogers with D.A. Davidson
John Rogers – D.A. Davidson & Co.: Hi good morning.
J. Michael Pearson: Good morning John.
John Rogers – D.A. Davidson & Co.: Congratulations on the quarter and year. Can you give us a sense of the breakdown of backlog between private sector, state and local, and federal?
Mark R. Stauffer: We generally don’t break that down, but I think it’s fair to say that the current backlog we had is probably pretty indicative, what we just announced in terms of results.
John Rogers – D.A. Davidson & Co.: Okay and going forward, I assume based on your comments that the private sector will grow inline with the rest of the business. I mean given the cruise ship opportunities. I just wanted to think about that in terms of risk as we look out into '09, ’10?
Mark R. Stauffer: Sure, will we kind of talked about in the past, we look at all the opportunities that are out there in front of us at any one point in time. And so in some regard it depends on the projects that we go after at any one point in time, and those that we’re successful in getting. I think it’s fair to say that as we look at that the markets opportunities in front of us. It’s fair to say that the government sector side of things what we will probably be providing a greater opportunities as we go forward, at least in the near term. But there are some things out there that from the private sector side as we talked about this morning with the cruise terminals that might alter what the actual results are just because of being successful we’re getting certain things over other things. So…
J. Michael Pearson: I think, John the important thing there is we’re not focused on necessarily a sector where we get the work. We’re focused on the job itself, the project first it goes with that. So, we don’t really careful, which sector it comes from.
Mark R. Stauffer: Right and just as a reminder what we look for at anyone point in time is what provides us with best opportunity given the choices, we have in front of us to help achieve our goals.
John Rogers – D.A. Davidson & Co.: Okay and then in terms of additional acquisition opportunities in ’09. What do you seen out in the mark there I am just specific, but just in terms of pricing, are there bonding pressures on some of the smaller companies, or do you see more organic expansion opportunities in the new geographies or…
J. Michael Pearson: We certainly seeing a lot more bidders show up on the smaller projects and I understand that the government, part of the stimulus packages is to offer SBA bonding limits that could be increased from what they currently have as far as guarantees. And that may help them pursue projects, but I think that there are opportunities out there on the M&A side, we’ve just kind of chosen for time being, I do stay focused on our building up our balance sheet and seeing how the year is going to paying out, I think we are a lot more comfortable today then we were three months ago on how the year is shaping up. And but I can say that there are a number of companies that are feeling some pressure now, that certainly in the commercial side of the business as you well know with the home build and companies under pressure and commercial building under the pressure its, putting a strain on some companies and there are potential opportunities out there we will just have to see how the year bounce out, but I think the oil and gas sectors in the Gulf offshore is feeling great difficulty with decrease drill and that, that doesn’t really affect us. So, I think it will be an interesting year to watch some of these small companies and see how they fare.
John Rogers – D.A. Davidson & Co.: Okay. Thank you very much.
J. Michael Pearson: You bet.
Operator: The next question is from Mr. David Yuschak from SMH Capital.
David Yuschak – SMH Capital: Just couple of follow-ups, your mix of business in the fourth quarter compared to your guidance in the first quarter any changes or shifts in that?
J. Michael Pearson: In terms of the mix in terms of and customers?
David Yuschak – SMH Capital: Right yeah, as far as…
J. Michael Pearson: No, I think its kind of fair to say that the backlog is pretty indicative of what we just announced the mix there.
David Yuschak – SMH Capital: Okay. So, from an operating point of view we should unless they're some issues, could look something might say depending on level of revenue percent you gave us that kind of guideline to do so. The other thing I was going to ask you about to is as far as your CapEx spending is concerned. How much would you look at as far as new initiatives versus maintenance?
J. Michael Pearson: Roughly, its inline with historical that, roughly about half is new, half is maintenance, this year it might be a little more weighted towards new, as we've said in the prepared remarks, we've got a plan in place that anticipates equipment needs for some of the larger projects that we see coming in the course we will keep in tune with the marketplace what is going on in terms of adjusting that or not as the year goes forward. So, I would say slightly more weighted towards new acquisitions versus maintenance for '09.
David Yuschak – SMH Capital: So, what would you need in way of something that would potentially boost the spending for CapEx big deal need to be out there?
J. Michael Pearson: Yeah. If there was a given project that required just additional lifting capacity or additional floating equipment in order to accomplish in the project somethings like that would require additional equipment.
David Yuschak – SMH Capital: I'm just thinking with bidding activity that is out there isn't it possible that, is there some sense as to how you would manage those assets to fully maximize the potential versus maybe need them do and boost more spending to take advantage of in fact some of this stuff does actually develop as everybody seems to think that is out there, that can happen?
J. Michael Pearson: Well, I think we’ve got some, under utilization that we can take advantage of and leverage with the existing fleet and workforce, I mean we are not fully utilized and have not been last year. It is the years before, so, simply by having a greater base of work to capture, I think will improve our utilization as the year….
David Yuschak – SMH Capital: So, the utilization where is that now, you're comfortable with what kind of work it could be out there. That you don’t feel like at this point in time even if things would really develop nicely that you need to add materially to those resources kind of what you are saying?
J. Michael Pearson: Well we made plans to increase our fleet this year with some additional lift in capacity and, investment in our existing equipment upgrades and so forth.
David Yuschak – SMH Capital: Okay.
Mark R. Stauffer: But again Dave I think it at the end of day, it's going to depend on what is the mix of projects that we are successful and successful bidder on. And it's just a nature of potential work that we see out there that may require over and above utilizing available capacity. And we basically just baked that into our plan, but as we said we will monitor that as the year goes down and as the projects as we get all the projects and adjust accordingly if necessary.
J. Michael Pearson: Yeah. I think a good example is we are bidding on bridges for example that some do not require anything different than our existing fleet others require that we get bigger barges, bigger cranes and if we get the work we will have to buy that equipment, it just depends on what we are successful on. But while some of the work in hurricane protection and so forth requires heavy lift in equipment then we have and but if we do not get that job and get some smaller that we can handle within our existing risk capacity then we won't make to spend the money, so it just it's all projects specific.
David Yuschak – SMH Capital: Okay. And then one last question as far as just on kind of back of the envelope here, it would look like free cash for this year should equal your net income then whatever that might be given, which should have got where D&A plus CapEx and working capital is that fair to say?
J. Michael Pearson: Well, I think yeah depending on how you calculate it again, I think, your math is probably correct, but again it's going to depend on how you could find the variables you got.
David Yuschak – SMH Capital: Yeah, but we are pretty close to, around that number though. And then as far as the your debt structure and what your sense as to that free cash and growth initiatives versus taking a look at, what you may want to do for your debt at this point?
Mark R. Stauffer: Well that the debt amortizing, as Mike said just a minute ago this might be the year, where we might see some opportunities, I think we are going to be see how the year develops and see whether or not there are any opportunities to develop that that might require us to utilize some levers I think we're in pretty good shape there in terms of having availability to use some leverage and if not we will be generating cash that can pay down debt.
David Yuschak – SMH Capital: So, at this point I am more likely to probably hoard cash than anything else, do anything with an acquisition.
Mark R. Stauffer: So, I think for the first half of the year its prudent to build your balance sheet up and strengthen it and let's get through this year no one can predict when the recession is going to take a turn upwards and recover and we just like to be a little bit further down the road.
David Yuschak – SMH Capital: Great. Thanks a lot.
J. Michael Pearson: You bet.
Operator: (Operator Instructions). We'll take our next question from Fred Buonocore with CJS Securities.
Fred Buonocore – CJS Securities: Yes. Mike you had mentioned a little bit ago about just some opportunities or kind of softness with offshore oil and gas just can you give us a sense for what level of exposure you have to oil and gas in general. And is this kind of one of the areas in the private sector that you're expecting to continue to soften?
J. Michael Pearson: Well you need to understand, we do not participate in the deep water offshore market on the gas sector, we are more related to the terminals that are in ship channels and ports that we on, and in spite of what is happening with drilling activity going down in the Gulf of Mexico we are still importing about 70% of oil in this country. So, ships are still coming back and forth buying in all products to the ports and that is not going to change. And having said that we have seen some pressures in the chemical side on the refinery side, they have been under a lot of pressure there and, we have seen some reduced activity with those guys not expanding refineries or chemicals or plastics type facilities, but it hadn't been a material event, its just something we monitor and we watch and when I see the oil and gas services sector for offshore under pressure, it just means that we need to be cognizant with that and make sure that its not going to impact our business with any encroachment by other companies or what have you.
Fred Buonocore – CJS Securities: Right. Presumably your guidance takes in some kind of softening in the work that you do for these chemical companies and refineries?
J. Michael Pearson:  Well, yeah Fred, I guess I would say, yeah the couple of comments, one is that I think overall even though we are on the offshore stuff, we do have, certain amount of our business that is related to the refinery side if you will the dock, but the port infrastructure side really or the pipeline side in the shallow water is really where we touch it, we are still seeing maintenance work, we are still seeing some bid opportunities for some construction work in certain segments of that business. So, I guess, but to your larger point is that.
Mark R. Stauffer: We factor that into the 1.4 million market.
J. Michael Pearson: Exactly, and with respect to since the goal for 2009, as we said earlier that we do see a lot of bid opportunities out there in the whole, again the 1.04 billion there is some of that is in the segment we are talking about, but I don’t think its, there is abnormal exposure there from what we have seen historically and I guess the other point is that we've sort of baked all of that into the goals that we’ve established, the good and the bad out there.
Fred Buonocore – CJS Securities: Got it. And then on the cruise ship side, can you give us a sense for where you're with respect to the completion on the ship pier in Haiti and are there other specific cruise ship related opportunities that you expect to be biding on in the next couple of quarters?
J. Michael Pearson: Yeah, things are progressing well in Haiti and that project is on schedule and we are pleased with where we are at, and in our other opportunities coming up with more cruiser piers to be constructed both in the Caribbean Basin and domestic as well.
Mark R. Stauffer: And [Kara] we have time for about one more question.
Operator: Okay. We will take our last question from Steven Pedian with SAP Capital Management.
Steven Pedian – SAP Capital Management: Good morning guys.
J. Michael Pearson: Good morning.
Steven Pedian – SAP Capital Management: All my questions have been answered already. So, congratulations on a good quarter and good luck this year.
J. Michael Pearson: Thank you.
Mark R. Stauffer: Thank you.
Operator: At this time I would like to turn the call back over to Mr. DeAlmeida.
Chris DeAlmeida: All right. Well on behalf of Mike and Mark, we would like to thank you for taking the time to talk with us this morning and we look forward to speaking with you guys in the future. Also if you have any follow-up questions, please feel free to give me a call. Thanks and have a great day.
Operator: Thank you ladies and gentlemen. Once again that does concludes today’s conference, we thank you for your participation and have a wonderful day.